Operator: Good day, and welcome to MarineMax, Inc. Fiscal 2026 First Quarter Conference Call. Today's call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the call over to Scott Solomon, of the company's Investor Relations firm, General Merrill Advisors. Please go ahead.
Scott Solomon: Thank you, operator, and good morning, everyone. Hosting today's call are Brett McGill, MarineMax's Chief Executive Officer and President, and Mike McLamb, the company's Chief Financial Officer. Brett will begin the call by discussing MarineMax's operating performance and recent highlights. Mike will review the financial results and the company's fiscal 2026 financial guidance. Brett will make some concluding comments, and then management will be happy to take your questions. The earnings release and supplemental presentation associated with today's announcement can be found at investor.marinemax.com. And with that, I'll turn the call over to Mike. Mike?
Mike McLamb: Thank you, Scott. Good morning, everyone, and thank you for joining this call. I'd like to start by reminding you that certain of our comments are forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Any forward-looking statements speak only as of today. These statements involve risks and uncertainties that could cause actual results to differ materially from expectations. These risks include, but are not limited to, the impact of seasonality and weather, global economic conditions and the level of consumer spending, the company's ability to capitalize on opportunities or grow its market share, and numerous other factors in the company's most recently filed 10-K and 10-Q and other filings with the Securities and Exchange Commission. The company disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events, or otherwise. On today's call, we will make comments referring to non-GAAP financial measures. We believe that the inclusion of these financial measures helps investors gain a meaningful understanding of the changes in the company's core operating results. These measures can also help investors who wish to make comparisons between MarineMax and other companies on both a GAAP and a non-GAAP basis. The reconciliation of non-GAAP financial measures to the most directly comparable GAAP measures is available in today's earnings release. With that, let me turn the call over to Brett. Brett?
Brett McGill: Thank you, Mike. Good morning, everyone, and thank you for joining us today to discuss our fiscal first quarter 2026 performance. I'd like to begin by acknowledging the work of our teams across our stores, marinas, manufacturing, and superyacht service organization. Market conditions remain challenging throughout the quarter, with elevated promotional activity and cautious retail behavior continuing to influence demand patterns. Even in this environment, our teams maintained a strong focus on the customer experience while working to keep inventory aligned with current demand levels. Their efforts, which are reflected in our strong net promoter scores, contributed to the results we delivered and will help to ensure operational improvement as we move into the upcoming season. Revenue for December increased year over year with strong same-store sales driving the growth. Granted, as we previously noted, we were up against an easier revenue comparison this quarter due to the hurricanes last year. Retail boat margin pressure increased across the recreational boating industry, with the onset of winter. Competitive intensity remained high, and overall consumer sentiment continued to be affected by broader uncertainty. These dynamics reflected what we expected as the industry continues progressing toward normalized inventory levels. Against this backdrop, margins on new and used boats remained well below historical levels. However, our same-store sales performance was supported by our premium brand offerings and the migration to larger products as well. Our long track record of sustaining gross margins above 30% even in one of the more challenging lower margin periods for boat sales underscores the strength of our strategy to expand into higher margin, more stable businesses. By steadily acquiring complementary, less cyclical, higher margin operations, we've built a broader and more durable model. As these businesses continue to grow, together with improvements in our core operations, including marinas, storage, service, and finance and insurance, they are elevating our performance and will enhance our cash flows as the retail boating industry begins to recover. Even with industry challenges, in what is seasonally our smallest quarter of the year, we were able to deliver on our goal of reducing inventory levels by nearly $170 million compared with last year. Also looking ahead, we expect the industry's inventory environment to continue progressing toward more normalized levels as we move into the second half of the fiscal year. Although the timing and extent of improvement will depend on broader macroeconomic industry factors, a return to more typical inventory levels should help ease pressure on retail margins over time. Our presence at the premium end of the market continues to be a point of differentiation. Reflecting the strength of our brands and product portfolio. At the same time, we remain appropriately cautious for our outlook given the broader retail and macroeconomic environment. We continue to prioritize maintaining an appropriate inventory position, delivering a reliable and high-quality customer experience, and managing the business with discipline and long-term perspective. As we look at broader demand signals, to this year's selling season, the Fort Lauderdale International Boat Show effectively served as the kickoff, providing an early read on customer engagement across key segments. Subsequently, winter shows in Boston, Atlanta, New York, Milwaukee, Saint Petersburg, and Minneapolis, among others, offered additional touchpoints that collectively helped us gauge early season positive sentiment across a variety of markets. While it is still early, the consistency of interest across these events has us increasingly optimistic as we prepare for the spring selling season. Looking ahead, the Miami and Palm Beach shows in February and March will be important indicators of in-season demand at the premium end of the market and will further inform our outlook as seasonal retail activity accelerates. While recent demand has been positive, our outlook for fiscal 2026 remains balanced given the ongoing uncertainty regarding the broader consumer and macroeconomic environment. Against this backdrop, we continue to prioritize maintaining appropriate inventory levels, delivering a consistent and high-quality customer experience, and managing the business with discipline and long-term perspective. The execution of these priorities combined with our scale and operational capabilities, positions us well to navigate the near-term uncertainty and support long-term value creation for our shareholders. So now let me turn the call over to Mike for our financial review. Mike?
Mike McLamb: Thank you, Brett. To amplify Brett's comments, a customer-first culture is essential regardless of where we are in the cycle. And our team has done an outstanding job in that regard. Through previous cycles, repeat customers created through our outstanding customer experience have played a prominent part in propelling us forward. Looking at our first quarter results, achieving nearly 11% same-store sales growth was encouraging. Our revenue of $505 million supported our efforts to reduce inventory and contributed to an even stronger, more liquid balance sheet. We also benefited from our location optimization strategy which resulted in a more efficient footprint compared with last year. You can see from reported industry data that boat sales were challenged throughout the quarter. Particularly in the fiberglass segments, which are most important to us. Accordingly, our unit volume declined by low to mid-single digits. This implies a significant increase in average unit price driven primarily by mix and aided in part by the strength of the Fort Lauderdale Boat Show which skews toward larger products. Historically, in past recoveries, the larger product has tended to lead the way. Not surprisingly, gross profit of $160 million was down from the prior year due to anticipated margin pressure in the winter months from the industry's inventory overhang and its impact on less capitalized dealers. Gross margins today are more than 400 basis points below what would be considered a normal historical margin in most periods. That said, our higher margin businesses like our marinas, finance and insurance, and superyacht services contributed favorably to consolidated gross profit demonstrating the benefits of our diversified portfolio. Selling, general and administrative expenses increased to over $155 million but when adjusting for transaction costs, changes in contingent consideration, which was a gain of over $25 million last year, weather events and other items in both periods, SG&A was $1.7 million higher year over year but it was down 200 basis points as a percentage of revenue. Interest expense also declined due to decreased borrowings from lower inventory and lower rates. Interest expense should continue to be a tailwind for us in fiscal 2026 compared with last year. Our reported net loss per share was $0.36 per share or $0.21 per share on an adjusted basis. Adjusted EBITDA was $15.5 million. Our balance sheet remains strong with nearly $165 million in cash, while fiscal 2025 and 2026 were challenging periods for the industry, we still generated significant cash flow that allowed us to repurchase approximately 6% of our shares, acquire the high-quality Shelter Bay Marina and Retail business in the Keys, and continue investing across the company to support long-term growth and operational excellence. These investments included the opening of IGY Savannah, the expansion of our Stewart Marina, the rollout of our enhanced Fort Myers operation, and several other strategic initiatives. Interestingly, as we start the March, our customer deposits are flat year over year, an encouraging sign given the environment we just navigated. Through our disciplined approach, we improved both our current ratio and total liabilities to tangible net worth ratio. At the same time, we maintained a healthy net debt to adjusted EBITDA ratio of just over two times at quarter end. Based on current business conditions, recent industry registration data, retail trends, and other relevant factors, we are reaffirming our guidance for fiscal 2026. We continue to expect fiscal 2026 adjusted EBITDA to be in the range of $110 million to $125 million with adjusted net income in the range of $0.40 to $0.95 per diluted share. As I noted on our last earnings call, this guidance assumes industry units for our fiscal year will be down slightly to up slightly depending on the various factors that have affected consumer demand. Same-store sales are expected to finish fiscal 2026 flat to slightly positive depending on mix. We anticipate retail margin pressure to persist across the industry through the end of our fiscal second quarter. Which aligns with the typically slower winter period. We also expect inventory levels in the industry to show more meaningful improvement in the second half of the fiscal year compared with the same period in fiscal 2025. Supported by the continued growth of our margin businesses, we believe we can maintain consolidated gross margins in the low 30% range for the year. Our outlook reflects the interest rate cuts announced to date and assumes an annual effective tax rate of 26.5% and a share count of approximately 22.8 million shares. These projections do not incorporate the potential effects of significant acquisitions or other unforeseen developments, including shifts in global economic conditions. Reiterating what we said when we provided our fiscal 2026 guidance in early November, it's important to note that for the six months through March, our revenue and EBITDA was flat to up slightly while business became drastically more challenged for us and the industry after Liberation Day in early April. Liberation Day disruption was at the very beginning of the June, which seasonally is the most meaningful quarter to us and the industry. The resulting softness in that quarter caused the inventory overhang the industry is still working through. Accordingly, when modeling the business, you should bear in mind that the front half of the year is meaningfully more difficult from an earnings comparison. Having said that and looking at current business conditions, January trends have been solid, thanks in large part to successful boat shows and the month will finish with positive same-store sales. With that, I'll turn the call back over to Brett for closing comments. Brett?
Brett McGill: Thank you, Mike. Despite the challenging economic environment across the recreational boating industry, we expect activity to seasonally strengthen as we head into the spring selling season. Early momentum at this year's boat shows has been encouraging. And our position within the premium segment puts us in a strong position to capture meaningful growth and outperform the broader market as conditions improve. Our strength in the recreational marine sector comes from our diverse interconnected business lines. This integrated approach builds operational efficiency and long-term value. Through continued innovation, and elevated customer experience, and expansion in high-margin areas of our business, we remain confident in our ability to drive sustained growth and long-term value. With that, Mike and I will be happy to take your questions. So operator, please open up the line for Q&A.
Operator: Thank you. Star one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star two if you would like to remove your question from the queue. And for participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment while we poll for questions. Our first question is from Joe Altobello with Raymond James. Please proceed.
Joe Altobello: Thanks. Hey, guys. Good morning. Not surprisingly, one, to start on gross margin here. I know, Mike, you mentioned your second half compares get easier, but what are you assuming in terms of the discounting environment you know, as we progress throughout the selling season? And if that does get better, is this offset by lower OEM promotional support?
Mike McLamb: Good question, Joe. So we expect, as we said in the prepared remarks, that during this quarter, which is during the wintertime, the promotional environment is still going to be pretty active and pretty aggressive. That's baked into our guidance numbers. We do think when you get into maybe late March, or early in the June quarter, the weeks on hand of inventory in the industry are expected to actually drop, you know, first get even with they normally would be and then get below where they where they would normally be. And at that point, I think you know, lesser capitalized dealers out there who've been under a lot of pressure will feel a lot better. They'll be easing know, their aggressiveness, which does impact the entire industry, including us. And I think in kind of early in the spring is the opportunity for margins to begin to recover from the levels that they're at today, which historically very, very low. Don't think it's going to be a hockey stick recovery, but I think it's going to start to recover, sure in the June, which is meaningful. Then as it relates to how what that means for promotional environment for the manufacturers, I would think in some cases, they probably can also take a little bit of their foot off the gas a little bit as they work closely with dealers like us and their and their partners. But we're all aligned in terms of continue to create retail and stay ahead of demand and continue to create demand.
Joe Altobello: Got it. Very helpful. Maybe just to follow-up on that. You mentioned you still expect inventory reductions in the back half. Is there a number that you have in mind where you want to end the fiscal year from an inventory standpoint?
Mike McLamb: You know what? We talk a lot about numbers internally. But really, what we're trying to get to is the inventory the inventory turns for us are below where we normally would like them to be. We're below two times now, which is normally above two times. So we're trying to end fiscal 2026 with inventory turns above two times. And to get there, you our inventory will have to be a little bit lower than where we ended last year. Which was already a reduction from the year before. And we've made very good progress as Brett said, being a $170 million down year over year at December. And, you know, subject to retail expectations, I think we'll end the year with less inventory dollars.
Joe Altobello: Okay. Super. Thank you.
Mike McLamb: Thanks, Joe.
Operator: Our next question is from James Hardiman with Citigroup. Please proceed.
James Hardiman: Hi. This is Sean Wagner on for James. Wanted to one first confirm. So you said nearly 11% same-store sales growth in the quarter. Unit volumes, I think you said declined low to mid-single digits. And ASPs were down. Is that correct? Or ASPs were up again?
Mike McLamb: Yeah. To get to the 11% same-store sales growth, with a mid-single-digit decline in units, had a very significant increase in average unit selling prices, which I think I said in the on the remarks, the strength of the Fort Lauderdale boat show really helped to propel. That tends to be a bigger boat show, and it was a very strong show. That drove AUPs in the, in the quarter.
Sean Wagner: Okay. I guess following up on that, if there's a mixed benefit on the top line I guess, why didn't why didn't that translate into better gross margin? Where you called out sort of a negative mix headwind?
Mike McLamb: Yeah. Actually, it's not a it isn't really negative. The mix is when boat sales increase, as much as they did in terms of boat sales revenue, 11%. And boats today are the lowest margin product we sell. Given the fact that we're you know, we have so many other higher margin businesses. That mix increase is adverse to your consolidated margin if you follow me. If you sell a lot more of a lower margin product, it impacts your consolidated margins. That's what that comment meant to hit on.
Sean Wagner: Okay. And you but you did you you called out higher margin businesses contributing favorably to the consolidated gross margin. Is that just saying without those businesses, it would have been even worse?
Mike McLamb: Yeah. Yes. For sure. The marina businesses that we're in, our superyacht services, finance and insurance, service, all the other business, brokerage, all the other business we're in. Contain a much higher gross profit margin, and they they've all they all keep doing and performing pretty darn well.
Sean Wagner: Okay. Got it. Thank you very much.
Mike McLamb: Thanks, Sean.
Operator: Our next question is from Eric Wold with Texas Capital Securities. Please proceed.
Eric Wold: Thanks. Good morning, guys. I just Good morning. Coming out of the the the just the initial set of boat shows into the winter, I guess, you talk a little bit about what you're seeing with demand kind of across the various income groups and price points? I know you talked about seeing demand on the high end, which raised the average price point. Does that mean there was weakness at low end or just that you saw greater demand at the at the high end? And does that give you in that case, does that give you more confidence that you know, some of the the higher end premium buyers that that surprisingly work on staying on the sidelines are starting to, to come off.
Brett McGill: Yeah. Hey, Eric. It's Brett. I think the Lauderdale boat show is exactly what we saw. It's a higher ticket price type of show. And the demand was good. And in fact, like you just said, there were some people that had been waiting that were just kinda wanna go boating, and they just decided to kinda come in and get boating. So that that was good momentum. Second half of the quarter, you know, was was tough. You know? Trends were down. Don't know if I'd categorize it because that time of year for us is kind of a larger product, a winter season type of type of sales. So it's the bigger boats. There's some industry data out there, but the fiberglass segment continues to be under pressure. Which is, you know, we're trying to fight through that. And that's Mike's comments about kinda getting into the second half of the year with inventory being in in good alignment. You know? Good things will happen for that.
Eric Wold: Okay. Just to follow-up. I know you're not necessarily low end, boat seller, but I guess I guess on the lower end of your scale, are you seeing that cohort of buyers change at all? Are they staying relatively cautious? Are they getting more cautious? Are they starting to come off the sidelines as well with rates coming down? What are you kinda seeing from the lower end?
Brett McGill: Yeah. I think it's it feels similar. I think my comment about it being seasonally the larger boats, we're not feeling any additional pressure on the lower end of what we carry versus the upper end. It feels generally about the same. Yeah. Mike, you wanna add to that?
Mike McLamb: No. Eric, I think what I can add to that is that the, you know, within the industry, obviously, we we see what's happening within our stores. We know what's happening outside of our stores. And, clearly, the data tells you that the premium product, the higher price point, the premium end is performing better overall than the value or entry-level end segments. They're both they're both challenged. I think the value end and the the more entry-level is more challenged for sure. Than the premium end. And the strength that we saw in Lauderdale, and Brett commented another shows, the strength that we saw in January in a lot of shows, it does seem to be being led by some of our larger product, which is historically what's happened in past cycles when we come out of a cycle. The more premium product that we sell tends to lead the way, which is encouraging when we start thinking about the rest of 2026 also. You know, I'll add one more thing. I think sometimes right now, it's less about this segment for us, for the products we carry. It's less about one segment being up or down. And this buyer, it's about, kind of a start-stop thing. You know? Different world news that comes out. You know, just literally, we can see sales buying trends change for two weeks after some crazy news that might get released. And so it's great great Lauderdale show, and then, you know, a couple weeks of crazy news and the buyers all stop. So it's it's really the uncertainty right now that's out there that's causing people to to either be buying or slowing down for a little bit.
Eric Wold: Got it. Thank you both.
Brett McGill: Yeah. Thanks, Eric.
Operator: Our next question is from Anna Glaessgen with B. Riley Securities. Please proceed.
Anna Glaessgen: Good morning. Thanks for taking my question. I'd like to turn back to the cadence of boat margin embedded in the guidance. You know, you've been clear that expect some pressure through the second fiscal quarter. Should we expect that in the back half, there's less pressure or that it actually inflects the positive year over year as you lap that liberation day impact?
Mike McLamb: Yes. If I understand your question right, Anna, it's the March will have very similar pressure to what we experienced here in the December. And then, yes, it's going to be less pressure. So there ought to be opportunities for consolidated gross margin expansion. I'd be, you know, modest in that. Is what's in our guidance. But there should be the opportunity for some boat margin expansion which would affect and improve our consolidated margins in the June and the September.
Anna Glaessgen: Got it. Thanks. And then turning to the customer deposits, you know, we've seen you know, of an extended stint of, you know, year over year compression in light of the broader retail environment seems to be a positive that that's starting to inflect. Just trying to understand if there's anything one tiny in this most recent quarter. I know it can be lumpy if you have one really big boat in there. So anything to call out on mix or anything to note there? Thanks.
Mike McLamb: Actually, great question. I called it out on the on our prepared remarks. I think it's a great point to note that our the customer deposits is in some way fuel for future quarters, and the fact that it's stopped declining and evened out on a year over year basis despite all the uncertainty, I think, is a real positive. There isn't really anything overly lumpy in there. It just reflects solid business trends with some of the larger which is usually where you're given deposits. But, no. Generally, it's good that deposits are holding up year over year.
Brett McGill: Right.
Anna Glaessgen: Thanks.
Mike McLamb: Thanks, Anna.
Operator: Our next question is from Derek Johnson with Seaport Research. Please proceed.
Derek Johnson: Great. Thank you. Hey. I wanna go a little bit deeper into Eric's question about boat shows. You mentioned early boat shows are encouraging. Now excluding Fort Lauderdale in this conversation, can you just dive deeper into that? What shows, what regions maybe were most encouraging over the past month or so? And what segments?
Brett McGill: Yeah. This is Brett, Jared. The boat shows, that's kinda what made the comment in our script there that we called out a bunch of different shows from Saint Pete to Boston and in between. And the reason we did that is, really across all markets, we saw a positive boat show. You know, some of these shows are smaller in the grand scheme of things, but it's an indicator for that market of what to expect. And, you know, like we keep saying, kinda heading into the spring selling season, what are we kinda up against, which last year, like Mike's keep keeps saying that Q1 and Q2 were were pretty good last year. And then Liberation Day did. And so, therefore, we've been adjusting inventory because of that harsh reduction in the industry sales. And with inventory in line, you know, hopefully, nothing like a liberation day come at the beginning of the quarter for Q3. You're kind of going in with good inventory and an uptick in sales. You know, you should be in a good good place there.
Derek Johnson: Okay. So it sounds encouraging. Now, given that we lost Sunday in New York, is that impactful to your second quarter?
Brett McGill: I think all of those shows, I would say when I think back to the decades that Mike and I have been attending shows in our team, feels like every year there's there's something at every one of those shows. So the comparables are real hard to say. We probably lost a day last year. The attendance was down. There was a lot going on in Minneapolis but all of our shows did did fine. You take Saint Petersburg. I mean, two days were weather issues. And we still had a great show. So, yes, to back to your question, you know, that does have effects on things, but, usually, it balances out for the effect of, New York. You know, it's a decent show, so it should shine through in our quarter.
Derek Johnson: Okay. And you and you mentioned, you know, news having an impact on your customer last year. Did that have any impact in in the quarter given the government shutdown happened, like, middle of the quarter?
Mike McLamb: It's actually it the way I would answer that, and Brett may have his own views on it, but the way I'd answer that is to the extent something like that just kinda messes with consumer demand and how the consumer feels and all that, then that's negative. It probably had a negative impact on us from that perspective. I don't know if we can directly go, you know, we got this boat sale. We lost this boat sale simply because of it. It has that start-stop effect on our consumer. Right? You get good momentum at Lauderdale or a boat show and then news like that, and it just people get consumed, and they sit on the sideline for a couple weeks, and then they start coming back. So it's the start-stop uncertainty that we're feeling this last three, four months.
Derek Johnson: Okay. Great. Appreciate it. Thank you.
Operator: Our next question is from David MacGregor with Longbow Research. Please proceed.
David MacGregor: Hi, good morning. This is Joe Nolan on for David. Hey.
Joe Nolan: Hi. Just on gross margin, the year over year change can you quantify or talk directionally about the drivers to the decline in margin? Just how much was mix, how much was promos, etcetera?
Mike McLamb: It's a good question. I don't really have that broken down right in front of me. I tell all of it is promotional, not really mix in terms of new boat gross margin, decline from a year over year perspective. And that's really what driving the overall gross margin decline. So I guess to your point, mix, because we do have an increase in boat sales overall, would contribute to that. But the biggest driver is just where both margins are versus last year.
Joe Nolan: Got it. Okay. And then on same-store sales, you guys had a great quarter. Can you just talk about the cadence through the quarter and just what you've seen so far into January?
Mike McLamb: Yeah. October was a was a good month. November and December were aided by the Fort Lauderdale Boat Show. Traffic and just, you know, units and business itself were challenged in those two months. Consistent with the industry data. I mean, we did fine, but, so the, same-store sales were strong kinda throughout the quarter because of the strength of the Fort Lauderdale boat show. And then as we said on the call for January, we are expecting January to finish with positive same-store sales growth. And as Brett said, all the boat shows, all the ones you rattled off, which were quite a few, across the country, have been generally pretty positive.
Joe Nolan: Okay. Great. And if I could just speak one more in just on acquisitions. Just wondering you're seeing in terms of valuations, where your targets are there and just anything you could say about that.
Mike McLamb: I can comment. We always have a robust acquisition pipeline, and we still do. The challenge right now is for many of the entities in our pipeline, and they're not all necessarily boat dealers, but for many of them that are dealers, there's just no earnings. And so that's kinda hard to it's hard to come up with you know, good valuation discussions with potential people that we had merged with. What I'd say is over our long history of doing this, we don't really lose an acquisition target. They may get postponed. And then we come back and acquire them at some point in the future when it makes sense to us and makes sense to them as well. The valuations in terms of those type of businesses haven't changed a whole lot other than the earnings within those businesses. It's just very, very weak to the extent they have any.
Joe Nolan: Got it. Okay. I'll pass it on.
Mike McLamb: Thanks, Joe.
Operator: There are no further questions at this time. I would like to turn the conference back over to Brett for closing remarks.
Brett McGill: Well, yes, thank you, everybody, for joining us this morning. And for those of you heading to the Miami Boat Show, we hope to see you there. And look forward to talking to you on the next call. Have a great day.
Operator: Thank you. This will conclude today's conference. You may disconnect at this time, thank you for your participation.